Operator: Greeting and welcome to Model N's Fourth Quarter of Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Carolyn Bass. Thank you and please go ahead.
Carolyn Bass: Good afternoon. This is Carolyn Bass. Welcome to Model N's fourth quarter of fiscal 2022 earnings call. With me on the line today are Jason Blessing, Model N's Chief Executive Officer; and John Ederer, Chief Financial Officer. Our earnings press release was issued at the close of market and is posted on our website. The primary purpose of today's call is to provide you with information regarding our fourth quarter of fiscal 2022 performance and offer a financial outlook for our first quarter and fiscal year ending September 30, 2023. The commentary made on this call may include forward-looking statements. These forward-looking statements are based on management's current views and expectations as of today and should not be relied upon as representing our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. Actual results may differ materially. Please refer to the risk factors in our most recent Form 10-Q filed with the SEC. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for, or in isolation from, GAAP results. Reconciliations of the non-GAAP metrics to the nearest GAAP metrics are included in the earnings press release issued today, which is available on our website. I encourage you to visit our Investor Relations website at investor.modeln.com to access our fourth quarter and fiscal 2022 press release, periodic SEC reports, and the webcast replay of this call. Finally, unless otherwise stated, all financial comparisons in the call will be to our fiscal year 2021 results. And with that, let me turn the call over to Jason.
Jason Blessing: Thank you, Carolyn, and welcome to our call today. I am pleased to report that our fourth quarter results beat expectations on total revenue, subscription revenue, and professional services revenue. We also saw a healthy contribution from all of our growth levers. Our Q4 performance marks the end to a strong 2022 for Model N and I'm proud of how our team is executing across all key metrics. As I reflect on 2022, I am pleased with our consistent execution and the progress we've made delivering profitable growth. At the start of the fiscal year, we set a target to exit the year at a 20% SaaS ARR growth rate and I'm pleased to report that we have exceeded this goal. SaaS revenue growth for the full year eclipsed 23% and accelerated throughout the year to 31% in Q4, up seven points from 24%, just last quarter. One of the key drivers to our subscription growth has been the fact that Model N provides a high ROI mission-critical solution, which among other things, results in very strong renewal rates. Our SaaS subscription growth retention rates are best-in-class and have been trending at or above 90%. And during the 12 months ended September 30th, 2022, our SaaS net dollar retention rate was 129%, a new high watermark for us. 2022 was also a pivotal year in our business model transition as the conversion of our remaining on-premise customers to the cloud continues to accelerate. Part of transitioning to a SaaS business model involves taking care of our customers and leading them forward with us. This past year, we made significant progress on transitions. As of the end of fiscal 2022, we have transitioned approximately 70% of our on-premise Life Sciences customers to the cloud. We expect to have substantially all of our customers transitioned over the next 12 to 18 months, and we remain ahead of our internal plan for SaaS transitions, which is one of the reasons we saw upside this year. In addition to successful SaaS transitions, overall sales momentum continued to be strong during 2022, due in part to the changes we've made over the last three years to our go-to-market teams, most notably building out dedicated customer base and new logo sales teams. This go-to-market alignment has allowed us to capitalize on SaaS transitions, but what's even more important is the focus drove a shift in our bookings composition this year. Specifically, for the full fiscal year, the majority of our bookings came from deals that were not SaaS transitions, a trend that became more prominent as the year progressed, and several sales professionals worked territories focused solely on whitespace and expansions. I would also like to call out the continued strong performance of our professional services team, which is delivering excellent financial results and high quality projects. This team had a remarkable 2022 and has built a strong backlog for 2023. Next, I'd like to give you an update on our recently completed quarter. Success in Q4 was driven by a healthy contribution from all areas of the business. We signed multiple new logos, two SaaS transitions, numerous customer base expansions, and we also enjoyed strong renewals across the board. Turning into SaaS transitions, during the quarter, we signed a top 10 global pharma company and longtime Model N customer to begin their cloud journey. Our SaaS platform will allow this customer to take advantage of seasonal updates and innovation much more efficiently. I am also pleased to note that during the sales process, the customer elected to add or validate a product resulting in a nice cross-sell tied to the SaaS transition, which is a pattern that we've seen repeat many times this year. The project is also tied to a larger corporate digital transformation effort to modernize all key operational systems in the cloud. In other SaaS transition, when in the quarter was at Amneal Pharmaceuticals, a publicly traded generics and specialty pharmaceutical company. Model N's cloud platform will support Amneal's corporate objectives and next phase of growth as they prepare for several new drug launches, and potentially M&A. The ROI work that we did with Amneal's team projects that their cost savings from moving to our cloud platform will be several million dollars over the next few years. We also closed several new logos in Q4. One terrific example is Novavax, which you may recognize from the news. Novavax is a multibillion dollar global biotech company, focused solely on developing life-saving vaccines. They are currently bringing a COVID vaccine to market, which has received emergency use authorization in the U.S. and authorization in 42 other countries. They also have a robust pipeline, including a combined COVID and influenza vaccine, which is expected to reach Phase 3 trials in 2023. Novavax was looking for a revenue management partner to support their growth who also had deep vaccine experience. Model N met their criteria well, and in fact, seven of the top 10 global vaccine providers our Model N customers. Novavax selected Model N's full suite of business services, including government pricing and commercial contracting, as well as global price management and global tender management for their non-U.S. operations. Novavax will also be working with our data and analytics partner, Global Price Innovations or GPI who will provide competitive pricing and other market access data. GPI's international reference pricing rules will also be seamlessly integrated with our global price management module to help Novavax make more informed decisions on drug pricing and launches. Other new logos in the quarter included Pacira Biosciences and Apellis Pharma. Turning to High Tech, we continue to see momentum in this part of the business and I am pleased to say that our team exceeded their internal plan for the year. We also continue to see our land-and-expand strategy paid dividends and during Q4, we had numerous upsells in High Tech. A great example is Renaissance, expanding their Model N footprint due to the continued rapid pace of consolidation in the semiconductor industry. Last year Renaissance acquired Dialogue Semiconductor and their 2,300 employees. As a part of combining the two large companies into one entity, Renaissance expanded their use of Model N's deal management and channel data management across the Dialogue business. Model N's leadership position in the semiconductor industry continues to position us well as consolidation in this industry accelerates. Also during Q4, Kyocera AVX, a leading global manufacturer of advanced electronic components, spanning more than 15 countries, became a lighthouse customer for our recently announced Ngage module. Based on the initial product demonstration, they saw the value and move swiftly to secure budget and begin implementation of this new product. Interestingly enough, the idea for Ngage came out of our first-ever company hackathon last year. The product is an inept guidance tool that is integrated with our platform to improve the end user experience. Ngage provides intelligent guidance and prompts in our products that drive user engagement, while also helping customers enforce standard operating procedures. Ngage is also used by our product teams to understand usage patterns and identify potential product improvements. Turning to professional services, our team had another great quarter to cap off a fantastic year. In Q4, we had several successful go-lives, including key projects at Fresenius, Nevro, Novartis, and several others. As I have talked about over the last couple of years, we are doing a terrific job of getting customers' live on time and on budget. The latest example of this is Amgen. Amgen has grown into one of the world's leading independent biotech companies and has a pipeline of therapies that hold tremendous potential for the future. In Q4, Amgen completed their SaaS transition, which is an important milestone in a multi-year model and roadmap. By moving to the cloud, Amgen is reducing total cost of ownership, leveraging Model N's latest innovation and building a foundation on which to deploy additional Model N products in future phases. And finally, I'm pleased to announce that in Q4, we successfully took Viatris live in the cloud, which was a very complex project. If you recall, we signed Viatris, a global generic and specialty pharmaceutical company late last fiscal year. Viatris was formed in 2020 through the combination of Mylan, Upjohn and Greenstone, two divisions spun out of Pfizer. This new global company, now one of the top 20 largest pharma companies in the world, selected Model N to support the combined company and is leveraging our government pricing and reporting, validate, and managed care modules. They are now fully integrated under one Model N instance, which allows for improved operational efficiencies by providing a unified view of the combined business. Finally, our product team is doing a great job supporting customers move to the cloud, while also delivering seasonal releases on time and new modules such as state Price Transparency Management, and Ngage to name a few. To support our continued investment in product, we recently opened our new innovation center in Hyderabad, a state-of-the-art facility for product development. This new office builds on our longtime investment in Hyderabad and allows us to continue to expand our software engineering talent pool in a cost effective location. I personally joined a group of high profile Indian government officials at the facility's inauguration last month. It was great to see our India team and celebrate Diwali in-person with them for the first time in over two years. I'd like to close by saying that I am extremely pleased with another year of driving profitable growth and that I'm excited about the year ahead. As I've said in the past, have a focused Model N is a stronger better Model N for our investors, customers, and employees. Our growth levers of SaaS transitions, customer expansions, and new logos are driving sustainable, profitable growth and we still have runway in all of our growth levers which makes me optimistic about the road ahead. I would also like to thank our customers and employees for another great year of partnership and shared success. Now, I'll turn the call over to John to discuss our Q4 financial results and provide guidance for Q1 and fiscal year 2023. John?
John Ederer: Thank you, Jason and good afternoon to everyone on the call today. As Jason noted, we closed out the year with another strong quarter, which has enabled us to exceed expectations again here in Q4. Looking back at fiscal 2022, this has been a continuation and arguably an acceleration of the key themes that you've been hearing from us. The first is our focus on driving profitable growth. During fiscal 2022, we drove total revenue growth of 13% as subscription revenue growth started to accelerate over the second half of the year. We increased adjusted EBITDA by 23% to $32.1 million representing an improved margin of 15%, and we grew free cash flow by 31%, ending the year at $24.3 million. The second theme is that the transformation of our business model is accelerating. As Jason noted, we made tremendous progress on SaaS transitions during fiscal 2022 and that execution is now being reflected in our financial results, with SaaS ARR growth accelerating to 31% in Q4, and maintenance revenue declining at a faster pace. Finally, the solid bookings performance in fiscal 2022, which you'll see in the very strong growth of our remaining performance obligations, has set us up well for both SaaS revenue growth and our professional services business in fiscal 2023. Turning to our financial results for the fourth quarter, total revenue grew 13% to $58.2 million, which exceeded the top end of our guidance. Subscription revenue increased by 12% to $42.9 million and also exceeded the upper end of our guidance range. Then we saw upside and professional services revenue, which grew by 15% year-over-year to $15.3 million. In terms of our profitability, please keep in mind that we'll be discussing non-GAAP numbers and the full reconciliation of our results as provided in our earnings release. For the fourth quarter, total non-GAAP gross profit was $36.2 million, representing a gross margin of 62.3% versus 61.6% in Q4 last year. Non-GAAP subscription gross margin continued to improve sequentially hitting 70% compared to 68% in the third quarter, and non-GAAP gross margin for professional services remained at a very high level, hitting 41% versus 39% a year ago. Operating expenses for Q4 were higher than expected due to roughly $2 million of non-recurring G&A expenses related to a corporate development initiative that we elected to no longer pursue. Adjusted EBITDA for the quarter was $8.2 million, representing a margin of 14%, which was in line with our guidance range of $8 million to $8.5 million. Finally, non-GAAP net income was $7.7 million or $0.20 a share, which was at the high end of our guidance. A key driver of our results in the fourth quarter and our business overall this year was the accelerating transition to SaaS revenue. For Q4, our SaaS ARR climbed to $109.4 million, which was an increase of $25.6 million or 31% over the last year. Our SaaS ARR growth rate has been accelerating over the last couple of quarters from 17% in Q2 to 24% last quarter, and now 31% in Q4 as we're benefiting from SaaS transitions. I would note that our SaaS net retention number of 129% in Q4 is also currently benefiting from SaaS transition activity. As we successfully transition customers to the cloud, our maintenance revenue is starting to decline at a faster pace. In fiscal 2021, we had $22.2 million maintenance revenue for the year, and we forecasted it to decline in the low to mid-teens range. For fiscal 2022, maintenance revenue was $17.5 million for the year, representing a decline of about 21%. Overall, we view the acceleration of these trends as a positive indicator for our business. In fiscal 2021, SaaS revenue represented 55% of our total subscription revenue. That ratio climbed to 60% for the full year of fiscal 2022 and we exited the year at an even higher rate with SaaS revenue contributing 64% of our total subscription revenue in Q4. In terms of the balance sheet, we ended the year with $193.5 million in cash and equivalents, which was up $9 million sequentially from the end of June and up $28.1 million versus the end of last year. Current deferred revenue of $62.3 million was up $8.2 million sequentially versus Q3, and up $4.9 million versus last year. At a high level, we've been seeing increases in SaaS deferred revenue, partially offset by declines and maintenance deferred revenue. As always, deferred revenue can fluctuate depending on invoice cycles, the timing of renewals, and other factors. As an indicator of our recent bookings performance and the future predictability of our business, we typically focus on RPO or remaining performance obligations. For Q4, our total RPO grew to $335 million, which was up 52% on a year-over-year basis, while the current portion of our RPO balance was up $132 million, representing growth and 23% year-over-year. The key driver of our total RPO has been the success we've been having with SaaS transitions, which tend to be larger, longer term deals. And to give you a sense of the improved visibility of our business model, back at the end of 2019, our current RPO as a percentage of the next 12 months' subscription revenue was 56%. That ratio has steadily increased over the last few years and as we exit fiscal 2022, current RPO represents 74% of the midpoint of our fiscal 2023 guidance for subscription revenue, which we'll get to in a minute. Before I transition to our outlook, let me first address a housekeeping item related to a new FASB accounting standard. Starting in Q1 of fiscal 2023, we will be adopting ASC 2020-06 regarding our convertible debt on a modified retrospective basis. This means that it will impact future quarters, but not our prior financials. Under the new accounting standard, our fully diluted share count will increase by about 5 million shares as our convertible debt will be treated on an as-if converted basis versus the Treasury method. There will be no impact to our adjusted EBITDA or our non-GAAP results. And I would encourage you to review our 10-K when filed for more detail. Now, looking at our guidance for fiscal 2023. For the first fiscal quarter, we expect total revenue to be in the range of $57 million to $58 million, with subscription revenue in the range of $42.5 million to $43 million, and professional services revenue in the range of $14.5 million to $15 million. We expect adjusted EBITDA to be in the range of $8.5 million to $9.5 million. And for non-GAAP EPS, we are expecting a range of $0.21 to $0.23 per share based on a fully diluted share count of approximately 43 million shares, including the as-if converted shares from our convertible debt. For the full year of fiscal 2023, we expect total revenue to be in the range of $241 million to $244 million, subscription revenue to be in the range of $178 million to $180 million, which is at the high end of the preliminary outlook of $175 million to $180 million that we provided on our Q3 earnings call. And we expect professional services revenue to be in a range of $63 million to $64 million. We expect adjusted EBITDA to be in the range of $37 million to $40 million and non-GAAP EPS to be in the range of $0.90 to $0.97 per share based on a fully diluted share account of approximately 43.7 million shares, again inclusive of the as-converted shares from our convertible debt. For the year, we have assumed the continued transition of our business model, which should result in accelerated SaaS ARR growth, but partially offset by steeper declines in maintenance revenue, with the blended growth rate reflected in our guidance for subscription revenue. Further, while we do not provide specific guidance on SaaS ARR, we expect to see elevated growth rates in Q1 and Q2 due to SaaS transitions and easier comparisons, and then more moderated growth in Q3 and Q4 as the year-over-year comparisons get more difficult. We also expect our SaaS net retention metric to follow a similar trend. For the full year, we do expect to be above our long-term target growth rate of 20% for SaaS ARR growth, with maintenance revenue declined by 30% or more. In summary, we executed well in fiscal 2022 and we're building strong momentum in our SaaS business. The significant progress that we made on transitioning our business model will pay off in fiscal 2023 and beyond. We are already benefiting from improved visibility with an increasing mix of SaaS revenue and RPO climbing to new heights. And by focusing our resources investments on the SaaS business, we expect to drive continued improvements in profitability and cash flow. Now, I'll turn the call over to the operator for any questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question comes from Ryan MacDonald from Needham. Please proceed with your question, Ryan.
Ryan MacDonald: Hi, thanks for taking my questions and congrats on a really strong close to a great fiscal year. Jason, obviously, it's been great to see sort of the broad base success that you've had across the business, whether it's from SaaS transitions, expansion activity, new logos. As we think about the guidance and the implications for fiscal 2023, I'm curious what your what you're seeing in terms of the mix of pipeline, or maybe the mix of growth levers for next year, and maybe where you have the most confidence and or invisibility in relation to those three buckets?
Jason Blessing: Hey Ryan, good evening, and thanks for the question. So, yes, so as we talked about, we hit the 70% mark, on customer conversion, SaaS transitions and so we are still expecting to get some contribution from that in the new year, or in fiscal 2023 this year. And then, as we've talked about, over the past year, SaaS transitions have really been a catalyst for us to get into customer accounts and build multi-year roadmaps to drive expanded use of Model N. And so I do think we're going to continue to see fantastic yield out of the customer base in this fiscal year. And then the other thing that I talked about on past calls is we have skewed given the SaaS transition opportunity, we have skewed a bit towards investing in the customer base. And I do expect this year as we start to invest more in new logos, we'll see that pick up. The majority of bookings this year, I expect, will come from the base, and they will come from selling new products and expansions as we start to write and close the final chapter on SaaS transitions.
Ryan MacDonald: That's great color. Appreciate it. And I think as you think about sort of driving that higher yield out of the existing customer base there, can you talk about some of the modules that you think will be top priority or that you're pushing with sales work right now. It seems like obviously state pricing transparency has been a hot topic recently. But it seemed like also valid data was -- seems to be growing in prominence and importance in customer conversations. I would just love to know sort of where you were those prioritizations lie in terms of the expansion. Thanks.
Jason Blessing: Yes, you make a great point, Ryan, in framing your question, we're not really dependent on any one product to drive the bookings number in the customer base. But certainly, as we look forward to this year, state price transparency management, 340B, both are hot topics for our customers that do commercial contracting in the US. We've also seen nice growth coming from international in our global products, global price management and global tender management. As you said, validated mentioned as well validated as a product that has a very tangible ROI. So it's an ensemble cast of products that I expect are really going to drive that number this year. And again, I like it because we're not tied to any one play, we have multiple plays we can run depending on what our customers' needs are.
Ryan MacDonald: Excellent. Congrats, again.
Jason Blessing: Thanks, Ryan.
Operator: Thank you. The next question comes from William McNamara [ph] from BTIG. Please proceed with your question, William.
Unidentified Analyst: Hi. Thank you for taking my call. I want to know what is the base case for the macro environment in 2023, and how might the legacy model and business react to a recession? And how might that be different than the business service group.
Jason Blessing: Yes. So in terms of the macro, I would say our results, not just in Q4, but the entire year when some of these uncertainty started to manifest itself, I think our results speak for themselves as does our guidance for the year. We provided strong outlook for Q1 and for the full year and also pulled up the bottom end of our range from the Q3 call. So we go into the year with some good momentum, some nice tailwind as well as we're getting closer to end of life on our on-premise products. And then we also have the regulatory regime, which just continues to get more complex, and that drives both business services as well as the core Model N business. So we feel good about where we're positioned as we start the year.
Unidentified Analyst: Okay. Thank you.
Jason Blessing: Thanks, Will.
Operator: Thank you. The next question comes from Chad Bennett from Craig-Hallum Capital Group. Please proceed with your question, Chad.
Chad Bennett: Great. Thanks for taking my question. And kudos on the strong year-end and fourth quarter from a SaaS bookings and ARR standpoint and just overall biz, I think your kind of anomaly out there these days. So Jason, I didn't hear anything regarding -- I mean -- and like you said, it shows up in the results but anything around or otherwise from a macro impact whether it's sales cycle elongation or additional scrutiny on deals? I assume the numbers are the numbers, and you're not really seeing that to-date?
Jason Blessing: Yes, a good double quick, Chad, on the last question, and thank you for that. Our trends remain healthy in the business. We actually saw a nice uptick in pipeline as we exited August and got into the fall as customers started planning for the next 12 months. So yes, we've been fortunate so far that we haven't seen any major macro impacts either in the US or in our Europe business, which is a business where we have a much lower level of exposure. And I think the other thing that I would mention is we tend to sell. We do sell products that help customers with bottom and top line and bottom line and that regardless of macro as a problem CFOs and heads of market access and heads of channel sales are trying to solve. So our value prop does tend to resonate well also in an uncertain macro environment. So we have been fortunate.
Chad Bennett: And then no, that's great to hear. And then just in terms of the acceleration you saw, especially in the second half of the year from a net expansion in a SaaS ARR standpoint. I know, Jason, you've said the last couple of quarters, net new cloud non-migration bookings have really ramped and I think close the year really strong. I don't want to pin you down too much, but just on like a net expansion number of $129 million, is there any way to just qualitatively talk about the impact of cross-sell, upsell on what's a really good number and a really good acceleration in the last -- or the second half of the year?
Jason Blessing: Yes. I mean, there's certainly a bit of a tailwind in there from SaaS transitions and that conversion from maintenance to SaaS ARR. I think John mentioned that in his script. But as I've said all year, the SaaS transitions have just been a fantastic catalyst for us to reengage with customers and build out multiyear road maps to not only do a SaaS transition, but adopt new products, expand usage into other divisions and other geographies. And that really is what's been driving the lion's share of that steady improvement in net dollar retention.
Chad Bennett: Got it. And then maybe last one for John. So, just kind of thinking about the initial guide in particular, on the subscription side. You closed the year really strong. It seems like you have as good a visibility as you've ever had, especially from a CRPO and coverage standpoint, heading in next year's subscription revenue, ARR is closing on a high note and whatnot. Do you think, from a net new ARR standpoint, I assume you expect SaaS net new ARR for this upcoming year to exceed what it was last year, just based on kind of the momentum of the business? Is that a fair assessment?
John Ederer: Well, so I think that if you step back and look at the things that are continuing to drive our business, the two biggest things that we've talked about one on the positive and one on the negative side is this transition between maintenance and SaaS ARR. And so we tried to provide pretty specific guidance in terms of what we thought each would do in FY 2023. So I'll let the guidance stand for it. So -- and I think that will give you some sense in terms of where we would expect the absolute dollar values to be for SaaS ARR as we exit the year.
Chad Bennett: Okay. And are you just because of the environment we're in. It just doesn't appear in the subscription guide and I understand everybody is being conservative these days on guide, but it doesn't seem like there's a significant uptick I guess I'd say, in net new bookings that you execute on maybe in the first quarter or second quarter in the fiscal year subscription guide. Again, is that a -- and again, I understand revenue rec lags that. But is the assumption for kind of net new bookings muted just in case -- just in because of the environment we're in?
John Ederer: I don't know exactly how to answer that, to be perfectly honest. We don't guide on the bookings front exactly. But we are certainly expecting continued performance on the bookings side and due to a lot of the drivers that Jason mentioned previously, we still have SaaS transitions flowing through the model and then we've got a lot of initiatives around net new logos as well as cross-sell upsell activity and new geographies. And so we are very focused on continuing to drive new bookings into the model. I think maybe if I'm kind of reading between the lines of your question a little bit, perhaps what is missing is we are still expecting very strong growth on the SaaS side of things, but we're also looking at another acceleration to the downside of the maintenance number. And so that unfortunately still provides an offset to that total subscription number in FY 2023. And but we are starting to work our way through that and I think as we get through FY 2023, we'll be done with the biggest impact of the maintenance down time decline.
Chad Bennett: Yes. Got it. Thank so much. Nice job, guys.
Jason Blessing: Thanks, Chad.
Operator: Thank you. The next question comes from Joe Vruwink from Baird. Please proceed with your question, Joe.
Joe Vruwink: Great. Hi, everyone. I'm going to take my own stab at bookings question. But I guess the way to frame it, so you have really a high coverage on next 12-month subscription revenues just based on what's in current RPO of maybe one interpretation that if you have booking success like you saw in FY 2022 recur in FY 2023, then there might be upside to the forecast you're providing today?
John Ederer: Well, I mean, I guess, sure. If we over perform our plan and we execute really well, I would expect some upside to our forecast. But our guidance reflects our forecast as we see it today.
Jason Blessing: Okay. One thing I would add on to what John said is just point your attention to the commentary that John gave in his script on maintenance and how that is that decline is accelerating significantly this year and so again, this will be probably the final year where we have to talk in depth about this. But that maintenance number is going to continue to decline and accelerate while our SaaS ARR continues to be very healthy.
Joe Vruwink: Okay. Yes. That's a good point. Then on the long-term RPO, so I think that was up almost 80%, can you maybe provide a high level of commentary just on kind of the scope and composition of what seem like pretty large, long-dated relationships. Customers are engaging with Model N at this point? Are there particular products or you called out digital transformation effort earlier is Mode in getting looped into these kind of broader enterprise strategies and that's reflected in the long-term component of RPO?
Jason Blessing: Yes. I'll comment on that first, Joe, and then John can add if you'd like. I think the trend in long-term RPO is really related to the progress that we've made with our top 10, top 20 customers this year signing them up to long-term contracts as they execute on their SaaS transition. And in some cases, as I mentioned in the one SaaS transition where we're not able to use their name, selling them additional products. So again, it's been a combination of great progress with our large customers and renewing our nutshell, so to speak, as well as selling them for products.
John Ederer: Yes. And I think as we commented before, with the -- with regards to the RPO, the SaaS transitions are having an impact on that number. And those deals do tend to be larger and sometimes longer term in nature. So a typical deal for us might be a three-year deal. SaaS transition deals can sometimes be four or five years in length.
Joe Vruwink: Okay. Okay. Last one for me. If I add back the non-recurring G&A in 4Q your second half EBITDA margins, I think, trended closer to 18%, starting guidance for 2023 calls for a bit of a moderation relative to those levels. Are there any certain investments that are already contemplated in the outlook or anything you would call out as swing factors in terms of your margin expectations?
John Ederer: Yes, there are a couple of things -- and thanks for the question, actually, I did not make a comment on seasonality of our operating expenses and that is important to note. And so in the first quarter of the year, that's when our merit increases go into effect. And so we do typically see an uptick in expenses related to that as well as some other events and activities that happened in the fourth -- the first fiscal quarter. And then in the second quarter, we see an uptick again from payroll taxes. So that's the first calendar quarter of the year. And so we are typically a little bit lighter in terms of margin in Q1 and Q2 versus Q3 and Q4 and if you look back at our recent years, I think you'll see that same trend.
Joe Vruwink: Great. Thank you very much.
Jason Blessing: Thanks, Joe.
Operator: Thank you. The next question comes from Joseph Meares from Truist. Please proceed with your question, Joseph.
Unidentified Analyst: This is Dominique Mantella [ph] on for Joe. So regarding the Hi-tech segment, you've noted your intention to elbow out from semiconductors into components and also software at some point. So what are the main differences between revenue management for hardware versus software? And how do these extensions expand your TAM? Thank you.
Jason Blessing: Yes. I mean, there is quite a bit of similarity between semiconductors, component manufacturers, and that's why component manufacturers has been a logical adjacency for us. Software, there are some similarities if it's a heavy channel business, and we've been selective about getting into that market because there's still -- as we've talked about in the past, we've characterized the high-tech, the semiconductor and component manufacturers as a $2.5 billion TAM. And today, High-Tech is about 15% of our total revenue. So an underpenetrated market for us and instead of expanding into other sub-verticals in high tech, the strategy right now is to really continue to focus on semiconductors where we're so dominant and then move into the adjacency of component manufacturers. And in some case, semiconductor manufacturers are also getting into component manufacturing. So that's a logical step for us.
Unidentified Analyst: Great. Thank you.
Jason Blessing: Thank you, Dominique.
Operator: [Operator Instructions] The next question comes from Brian Peterson from Raymond James. Please proceed with your question, Brian.
Brian Peterson: Hi, gentlemen. Thanks for taking the questions. So Jason, I wanted to take a longer-term lens on the white space opportunity with your customers post kind of the renewed nutshells that you referenced. But -- but what are the two to three white space opportunities that you're most excited about over the next five years that we should really be following in terms of thinking about the growth Algo?
Jason Blessing: I would characterize it into three broad categories. One is just general new product sales, so things like state price transparency management, engage new products that we're bringing to market because that's essentially new TAM that we're creating. The second is divisional expansions and so as we've talked about in the past, we have several customers that over the years have implemented Model N in one division, but not others. They've gone through M&A as an example, and maybe haven't fully deployed Model N. So I really like that the visional expansion play. And then the other is geographic, and that's expanding and selling products like global price management and global tender management that are purpose-built for markets outside of the US. So I think about it in those three broad categories, and each one of them are large, meaningful, and exciting.
Brian Peterson: Great. And John, maybe a follow-up for you on the current RPO comment as it relates to the next 12 months' guidance, should we read that into potentially having more visibility into your guidance for this year? Or is it more conservative? Just I'm curious how we should be extrapolating that comment that the current RPO is a higher percentage of the guide this year than it has been in prior years?
John Ederer: Yes. So the comment was really made with regards to the visibility that we're getting on the business now. And so that's, of course, one of the benefits of making the transition to cloud into a SaaS recurring model. And in fact, that's playing out. And so we've seen a steady increase in that visibility each year as we move through this transition.
Brian Peterson: Great. Thanks, guys.
Jason Blessing: Thanks, Brian.
Operator: Thank you. There are no further questions at this time. I'd now like to turn the call back to Jason Blessing for closing remarks. Thank you, sir.
Jason Blessing: Thank you, operator, and thank you everyone, for joining us today. As we discussed on today's call Model N closed fiscal 2022 with very strong results, delivering another quarter of profitable growth, while also making investments to position us for the long run. I am extremely pleased with our execution this past year, and I'm very excited about the road ahead. And again, thank you all for joining us today and have a great night. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time and thank you very much for your participation.